Operator: Good day, ladies and gentlemen, and welcome to the Innovid First Quarter 2024 Earnings Call. Our host for today's call is Brinlea Johnson. [Operator Instructions] I would now like to turn the call over to your host, Brinlea Johnson. You may begin. 
Brinlea Johnson: Thank you, operator. Before we begin, I'd like to remind you that today's call may contain forward-looking statements and that the forward-looking statement disclaimer included in today's earnings release available on our Investor Relations page also pertains to this call. These forward-looking statements may include, without limitation, predictions, expectations, targets or estimates regarding our anticipated financial performance, business plans and objectives, future events and developments. Changes in our business, competitive landscape, technological or regulatory environment and other factors could cause actual results to differ materially from those expressed by the forward-looking statements made today. Our historical results are not necessarily indicative of future performance and as such, we can give no assurance as to accuracy of our forward-looking statements and assume no obligation to update them except as required by law. In addition, today's call will include non-GAAP financial measures, including adjusted EBITDA, adjusted EBITDA margin and free cash flow. We use these non-GAAP measures in managing the business and believe they provide useful information to our investors. These measures should be considered in addition to and not as a substitute for our GAAP results. Reconciliations of the non-GAAP measures to their corresponding GAAP measures, where appropriate, can be found in our earnings release available on our website and our filings with the SEC. Hosting today's call are Zvika Netter, Innovid's Co-founder and CEO; as well as Anthony Callini, Innovid's CFO, both of whom will participate in our Q&A session. And now, I'll turn the call over to Zvika to begin. Go ahead. 
Zvika Netter: Thanks, Brinlea, and thank you all for joining the call today. We had a strong start to 2024 as Q1 revenue grew over 20%, and adjusted EBITDA significantly improved compared to Q1 last year. Most recently, we launched our Harmony initiative and related product suite to optimize the CTV advertising ecosystem as we seek to keep TV open for everyone and controlled by no one. Today, I'll review our first quarter results, provide several exciting business updates, unpack the Harmony initiative and share some thoughts on the rest of the year. I'll then turn it over to our Chief Financial Officer, Tony Callini, who will provide further details on our Q1 financials, updates on the financial guidance, and we'll finish with Q&A. I'm pleased to report first quarter revenue of $36.7 million, reflecting 21% growth over the last year. Adjusted EBITDA improved from effectively breakeven last Q1 to $4.4 million in the first quarter of 2024, reflecting an adjusted EBITDA margin of 12% as operation profitability continues to improve. We also delivered another quarter of positive free cash flow at $2 million, a $4.8 million improvement over Q1 of last year. In the first quarter, we signed new client wins, product expansion and renewals with leading brands such as Eli Lilly, Haleon, Homes.com and Verizon, as well as publishers like the Tennis Channel owned by Sinclair. Our financial results and client wins are a gratifying reflection of our team's hard work and the power of our platform. Another important part of what makes Innovid unique is our focus on innovation. We pushed the boundaries of what's possible in the fast growing CTV industry. And today, I'll share a few highlights of what we accomplished in Q1. In February, we launched a series of first-to-market interactive ads in partnership with Paramount+ during Super Bowl LVIII, the most streamed Super Bowl ever. The ads engaged consumers with the new Add to Watchlist units to promote Paramount+ content. We also developed interactive ads for Pfizer, which drove viewers to their Let's Outdo Cancer website. As live sports and other high-value content continues to shift the streaming platform, we believe this will further accelerate the increase in CTV viewership and advertising spend. More recently, we were recognized as the Best Measurement Tool by Digiday in their 2024 Digiday Video & TV Awards, which highlights the companies, campaigns and technologies modernizing video and TV. This recognition exemplifies the power of our platform and the value our measurement solution provides to brands and publishers. We do not only help measure the efficiency and effectiveness of CTV advertising, but we also empower them to act on that intelligence to optimize their investments. Next, I'm very excited to share more about our new strategic initiative at Innovid. A few weeks ago, we were joined by clients and industry partners, including ANA, the 4A's and the IAB at the New York Stock Exchange and via global webcast as we launch our Harmony initiative and product suite. Our Harmony initiative was created to address some of the biggest challenges facing CTV advertising today. By optimizing CTV advertising at the infrastructure level, we believe we can improve efficiency, enhance transparency and control, reduce carbon emissions and increase ROI to ultimately provide better viewing experience that will benefit advertisers, publishers, ad tech platforms and, of course, CTV viewers. Every day, our ad serving capabilities, our award-winning creative technology and our measurement capabilities help us deliver exceptional value to our clients. Now with Harmony, we're adding an activation and optimization layer, powered by our CTV data set and our unique position in the ecosystem. On the data front, we delivered 1.3 billion TV ads a day and see trillions of data points, giving us an unrivaled view of the ecosystem that covers programmatic and direct buys, the open web and walled gardens. This means we sit in the unique position to be able to deliver and as a result, see and understand 100% of what our clients run in CTV. In addition, since we don't buy, bid on or sell media, we are media-agnostic and unbiased, which puts us in the best position together with our partners to solve the biggest challenges in CTV. We are releasing a series of product innovation throughout 2024 under the Harmony product suite umbrella to openly share our unique data-driven CTV intelligence with the industry. We believe this will help make the entire CTV advertising ecosystem better for the benefit of all; advertisers, publishers, DSPs and SSPs and of course, the viewers at home. One of the first product innovations to be released as part of the initiative is Harmony Direct, which connects the Innovid buy-side ad server directly to the publisher ad server for the delivery of guaranteed non-biddable CTV ad impressions. This streamlines the workflow for these types of campaigns to its purest form, removing all friction points, including technology, hops, fees and energy waste. With fewer hops and less budget going to intermediates, advertisers can drive better outcomes from the same investment because more is going to actual working media. Harmony Direct also aims to lower the risk of latency and fraud, provide a greener supply path and improve fill rates for publishers. Agency and publisher partners, including Assembly, CMI Media Group, PMG, RPA and Roku are among the first to use Harmony Direct. In line with our commitment to stay an unbiased true partner to our customers and publisher partners, we are offering an impression-based software pricing model for our Harmony product suite rather than a percentage of media model. For Harmony Direct, in particular, having a flat fee per impression model versus a take rate is increasing the amount of working media dollars that actually make their way from the advertiser to the publisher. This is a true win-win. Brands will have more adults for working media and publishers will have more revenue opportunities from the exact same budget. As I mentioned earlier, we have a roadmap of Harmony products that will continue to be released throughout 2024. We believe Harmony will better balance the value creation in CTV, which will accelerate budget shifting from linear TV to CTV. While still in early days, we expect the Harmony strategy to help drive revenue growth over the long term by enhancing our cross-sell opportunities and strengthening our strategic positioning. Our products are becoming more and more connected and integrated, increasing the overall stickiness of the Innovid platform. However, since this initiative and products are still new, any commercial impact is not yet reflected in our 2024 guidance. In summary, we had a great start to 2024, and are excited about the opportunities ahead of us. We continue to innovate and release exciting new optimization capabilities to support and further drive the shift from linear to CTV. Financially, we are trending towards our long-term financial goals of over 20% sustained growth and 30% adjusted EBITDA margins. We believe we are well positioned to become the essential technology infrastructure for the future of TV advertising and to experience outsized growth when ad spend returns to its historic level. We remain committed to innovation and value creation for our customers and shareholders. With that, I'll ask Tony to take us through the numbers and provide some insight into Q2 and full-year expectations. Tony? 
Anthony Callini: Thank you, Zvika, and good morning, everyone. It was another strong quarter of profitable growth and an encouraging start to 2024. We're pleased to report our second consecutive quarter of double-digit growth, our seventh straight quarter of year-over-year adjusted EBITDA margin expansion and third consecutive quarter of positive free cash flow, all contributing to continued business momentum entering 2024. Now, let me dig a little more into the numbers. First quarter revenue grew 21% year-over-year to $36.7 million. Breaking that down further, ad serving and personalization revenues were up 23% year-over-year, while measurement revenue grew 11%. As a percentage of revenue, ad serving and personalization made up 79%, while measurement accounted for 21%. The growth in ad serving and personalization reflects the emerging stabilization of advertising spend and continued shift to CTV. In fact, CTV revenue from ad serving and personalization grew 22% over last Q1. As a reminder, Innovid ad serving and personalization revenue closely correlates with ad impression volumes served through our platform. Within this category, CTV impression volume increased 21% as more impressions continue to transition to CTV and represented 52% of all video impressions. Mobile video volume grew by 38%, and represented 37% of all video impressions, while desktop volume increased by 12% and reflected 11% of all video impressions. Both mobile and desktop have been inconsistent throughout 2023, but demonstrated meaningful growth in the fourth quarter, and we are pleased to see that trend continue into the first quarter of 2024. All 3 of these devices represent consumers watching streaming applications. So it's also helpful to look at total video impressions, which grew 25% overall in the first quarter as compared to the first quarter of 2023. The double-digit growth in measurement revenues reflects the continued enhancement of our measurement capabilities to take full advantage of the valuable data set generated from the ad serving side of the business. While the measurement business model is more subscription-oriented than ad serving, there is some seasonality with an anticipated step down from Q4 to Q1. As Zvika mentioned, we expect our unique ability to combine creative, delivery and measurement solutions to provide differentiated client value and be a catalyst for continued revenue growth. It should be noted, however, that while we are pleased with this quarter's revenue growth, ad spend in Q1 2023 was materially impacted by a challenging macro environment. While we experienced the meaningful year-over-year improvement in the first quarter, we don't expect a continued sequential improvement in quarterly growth going forward as the quarterly comps continue to improve. Now moving on to costs and expenses. Revenue, less cost of revenue, calculated out to 76% of revenue, improving from 73% in Q1 last year. Our margins continue to improve as the business scales, reflecting the operating leverage embedded in our business model. Q1 total operating expenses, excluding depreciation, amortization and impairment, totaled $37.2 million, an increase of 1% from $36.7 million last year, but supporting 21% more revenue than in 2023. Employee count at the end of March was 472 as compared with 465 at the end of Q1 2023. We remain committed to managing our cost base, while making strategic investments in high-growth areas to drive improved profitability and generate long-term value creation for our shareholders. Q1 net loss was $6.2 million, or a per share loss of $0.04. This compares with a net loss of $8.6 million and per share loss of $0.06 in Q1 2023. The outstanding common share count at quarter close was 143.9 million shares. Adjusted EBITDA in the first quarter was $4.4 million, representing a 12% adjusted EBITDA margin, a $4.3 million improvement as compared to adjusted EBITDA of just $100,000, or 0.1% adjusted EBITDA margin in Q1 last year. You may remember that adjusted EBITDA margin each quarter in 2023 was an improvement over its equivalent quarter in 2022, and we have continued that trend in the first quarter of 2024. These improvements reflect the impact of sustained revenue growth, lower cost of revenues as a percentage of revenue and operating costs that grew nominally over the prior year, demonstrating the leverage inherent in the operating model. Turning to the balance sheet and cash flow. We ended Q1 in a strong financial position with $31.6 million in cash and cash equivalents, with no outstanding balance on our revolving debt facility. As a reminder, we have $50 million available on that debt facility. On a net cash basis, or to say it another way, cash and cash equivalents less outstanding revolver balance, the $31.6 million on hand at the end of Q1 2024 is an improvement compared to the $29.6 million on hand at the end of 2023 and $25 million at the end of Q1 2023. During the quarter, operating cash flow was $4.7 million, and free cash flow was $2 million, an improvement of $4.8 million over the $2.8 million of free cash flow used in Q1 2023. If you look at free cash flow on a trailing 12-month basis, we have seen an improvement of $22.1 million as compared to the same 12-month period ended March 31, 2023. Finally, let me touch on our outlook for the second quarter and an update for the full-year 2024. We are encouraged by both the strong finish to 2023 and continued momentum into 2024 and remain committed to our long-term financial target of 20-plus percent annual revenue growth and 30-plus percent adjusted EBITDA margin. We are confident in the underlying strength of our business, opportunities for disruption in the market and our ability to grow revenue in a profitable way. We see 2024 as a meaningful step towards achieving our long-term targets. In the second quarter of 2024, we expect total revenue in the range of $37.5 million to $39.5 million, representing 9% to 14% year-over-year growth. We expect Q2 adjusted EBITDA in a range of $5 million to $6 million as compared to $4.5 million in the second quarter of last year. For the full year, we expect revenue of $157 million to $163 million, reflecting 12% to 17% annual growth and adjusted EBITDA between $24 million and $29 million. We had a strong start to the new year with continued revenue growth, margin expansion and free cash flow generation. With exciting new product offerings like Harmony added to our existing capabilities, we believe we can continue to bring more value to our clients and reimagine what's possible in the industry. We are proud of our accomplishments and look forward to taking a leading role in improving the ecosystem for everyone. As Zvika mentioned, we remain committed to continued execution, innovation and value creation for our customers and our shareholders. This concludes our prepared remarks. Zvika and I are now happy to take some questions. Operator, please begin the Q&A session. 
Operator: [Operator Instructions] Our first question comes from Matt Condon with Citizens JMP. 
Matthew Condon: My first one is just on demand throughout the quarter. Can you just give us an update just on the health of the overall market and maybe trends that you're seeing into 2Q? And then stepping back, maybe with the reorganization of the sales force in 2023 and with the product initiatives around Harmony Direct, can you just walk through the Harmony initiative more broadly and Harmony Direct and instant optimization? Can you just talk about how your conversations with advertisers are coming? And maybe any sort of adoption that you're seeing of these newer initiatives taking off? 
Zvika Netter: Sure. Matt, on macro perspective, we're seeing something similar to kind of the second half of 2023. We see a stable environment. Still it's less than "a normal" environment. And we see sort of stable below normal, but something that's more predictable. I would say at the same time, we need to remember that the second half of this year. So, we see this trend moving into the second quarter also. But the second part of the year, we also have -- we have a combination of election and Olympics, and that can affect the industry dynamics when it comes to advertising. But overall, we're definitely seeing an improvement year-over-year and believe that will continue for the rest of the year, definitely to keep an eye on the second half. In terms of the products around Harmony, I assume we'll have more questions and follow-ups in the future. Also on that, as an initiative, very excited about it in terms of initial customer response. You can even see on the launch, we have the video on our website of the launch event. We had there not just customers and partners, we also had 3 very strong industry groups that represent the buyers, the advertisers, the agencies and the publishers and platforms, that's the ANA 4A's and IAB, all on stage with us. So, Harmony is hitting on absolutely the top critical challenges within CTV. So as expected, we definitely have a strong interest, I would say, first and foremost, from advertisers, brands and agencies and of course, publishers. At the same time, these are early days, right? So, we engaged in conversations immediately. These are very important topics for everybody in the industry. At the same time, in terms of revenue, we just launched it. So, these things usually take time. So we don't -- while the investment is clearly included in the operating plan, we don't expect or in our guidance, we don't include revenue from Harmony just yet. 
Operator: Your next question comes from Shyam Patil with Susquehanna. 
Jason Ruka: This is Jason on for Shyam. On the Harmony platform, you mentioned it works with DSPs on that. Can you elaborate more on how that works? And can you provide any examples for it? 
Zvika Netter: Thank you, Jason. Can you repeat the question, the first part of the question? I'm not sure I heard you clearly. 
Jason Ruka: Yes. On the Harmony platform, you mentioned that it works with DSPs. Can you elaborate on how that works? And can you provide any examples for that? 
Zvika Netter: Of course. So, Harmony is working not just with DSPs, basically, and maybe with a very quick overview of what it is, Harmony is designed to work with everybody in the industry. So that's advertisers, agencies, the tech platforms and programmatic tech platforms, that's DSPs, SSPs and publishers from a tech perspective, sell-side ad servers. So the concept is to balance the entire CTV industry in a way that will tackle challenges that we're seeing today, which are -- they come with the territory when you're switching from linear broadcast television to a digital environment. It kind of brings with it things like transparency, frequency management, measurement, fraud, all the things that come with digital. The goal of Harmony is before CTV becomes as big as television or becomes all of television, to all of us work together, programmatic platforms, ad servers, buyers, sellers to create a better industry for everybody. So the DSPs definitely have a critical component, programmatic, basically, have a critical component of this because based, it allows a programmatic environment, allow us to make decisions in real time. And if you want to manage things like frequency, extended reach, optimize against outcome, this is something that the programmatic platform, the programmatic media buying platforms and selling platforms allowed us to do. Now, Innovid is an ad server on the buy side. We have no desire to be a DSP. So, we are partnering with them. And the way to do it is by sending signals. We see 100% of the media plan. We see 100% of the campaign, which is nobody else in the industry, except other ad services like Google Campaign Manager actually get to see everything. So, what we're doing with Harmony was saying, instead of keeping this information just in our system, allowing our customers to allow this information to go into something like a DSP, SSP and publisher, so they can optimize with the 100% view that we have, they usually have 10% to 30% view, we see everything. So, they're going with the Harmony's for us to share that with them, and they can optimize against that. And in this case, everybody wins. But clearly, this is a very big initiative that can take an entire hour or 3 to share, and that's on our website, on the homepage. 
Operator: Your next question comes from Matthew Cost with Morgan Stanley. 
Matthew Cost: So, I think your commentary about what you're seeing in the overall market, it sounds constructive. You're talking about seeing some real improvement, especially given the easier comp in 1Q and stabilization. But it does sound like there's areas of strength and weakness. Most of what we're hearing from [ Check's ] and from others in the ad industry year-to-date is pretty positive commentary, broadly speaking, in terms of just volume of ad spend and even impressions at the market level. So I guess, what are the areas of particular strength and then weakness that you would call out that you're seeing year-to-date? 
Anthony Callini: Yes. Great. Matt, I think we're really encouraged by the -- just the amount of impressions that have carried over from the fourth quarter of 2023 into 2024. So, just a strong start to the year. And even with a bit of an easier comp in Q1, we're pleased to see some of the verticals that were strong before continue to be strong and some that had struggled last year, maybe take a bit of a step forward. I mean, that said, there's still some inconsistency between verticals. And then as we look out over the rest of the year, what we've seen is there's potential headwinds and tailwinds for sure. And on the headwind side, just the overall shift to connected television continues to happen, things like live sports, things like more ad-supported content. And for us, those are all real positives. And what we don't know is when it's going to take effect and the amount that it will take effect when it does. On the potential headwind side for us, we have the election cycle that's coming, which, granted, it drives more volume and rising tide lifts all boats. But as you know, we support brands. And so it could have a bit of a cooling effect to brands in the second half of the year. And the other part, as Zvika mentioned, is the Olympics. And again, that's great for the kind of brand awareness in general, but a lot of times what the brands will do is look for more sponsorships than actual advertising. So, there's just this -- there's some uncertainty, and we've baked that into our forecast. We feel pretty confident around that. And I think we're pleased that we were able to raise the guidance overall and actually tighten the range from what we had disclosed before. So, I think it's kind of a combination of those things. But in general, with the industry, we're seeing a stabilization and again, kind of the same trends in the verticals that continue to do well and some that -- and I'll call tech out is one that has gotten a bit improved from last year. So, that's kind of how I would summarize how we're seeing things. 
Operator: [Operator Instructions] Your next question comes from Laura Martin with Needham. 
Laura Martin: The first thing, I think you mentioned that impressions for CTV grew about 21% and impressions for video grew about 35%. So, I'm curious as to why you think non-CTV is growing 50% faster than CTV? What's the trend you're seeing in the marketplace there with your brand clients? 
Anthony Callini: Yes. I mean, I think it's for the different categories and we had the same effect last quarter where the mobile, in particular, had a higher growth rate than CTV in the fourth quarter. And it really -- in these 2 quarters, in particular, comes down to some comparables and really the comparables in the prior year. I think we're pleased that overall streaming transactions are up significantly year-over-year, and that's the trend. So the mix between mobile and CTV, while it's interesting, it's hard to look at one quarter individually and draw a lot of conclusions from that. But, again, the broader trend is that streaming impressions overall are up and CTV has grown over 20%. So, I think those are all real positives for us. 
Zvika Netter: Okay. And then -- go ahead, Laura. Sorry. What I wanted to add is that if remember, since COVID started, what's interesting 4 years ago is when we see -- we saw a lot of volatility, CTV never, at least from our not shared numbers in terms of impression, went down year-over-year or quarter, like it was always kept going up. Well, definitely, what we call video, mobile, desktop, digital video, absolutely some quarters where it had a minus when it was shrinking. So from that perspective -- and CTV always went up. So in terms of improved economy, you may see spikes in year-over-year growth, but in absolute numbers, it's not material. So, that's on that. But you wanted to ask the question. 
Laura Martin: Yeah. I just wanted to ask. So, one of the things that on your Analyst Day, you focused on was that you wanted to bundle -- you wanted to more successfully bundle like the core product with, like, your TVSquared product. Now we're adding the Harmony product. Is the Harmony product part of the bundle? Does it continue with the sort of bundled strategy of putting your products together? And how does the pricing relate-- compared to your core product pricing, which used to be $0.32 round numbers? Is it a similar price point? Could you talk about that, the bundling and the price points? 
Zvika Netter: Sure. Sure. Absolutely. And thanks for referring. Yes, I think that was back in September or November last year. It feels years ago. Yes, back then, we already started talking about -- we presented the notion of optimization. We could not, at that point, uncover our entire roadmap and strategy around Harmony. So, we refer to, at that time as optimization, which basically, to your point, absolutely, that's if you bundle, let's say, 3 products, which is the creative technology, the delivery technology, which is our ad server and then with measurement, what you refer to TVSquared acquisition from 2 years ago, it's our measurement product. So, we had these 3 components that already work together beautifully. The ad server feeds the measurement on 1.3 billion. Actually, it's several billion data point, 1.3 billion TV impressions a day. So that already works together. What really ties kind of wrapping everything together is the optimization, which now we gave it a name. It's Harmony, and it's an entire industry initiative. And that's absolutely -- basically, what it's looking to do is to optimize any component of the entire CTV industry and that's the creative, the delivery, but also the media component, things like reach, frequency, audiences, outcomes. So, that is a major kind of bundle and wrapper around all these things because what it wraps is not just the technologies we provide, which is the creative delivery and measurement, but also the media side by integrating with DSPs, SSPs and publishers. It is looking to optimize all components of CTV -- CTV, the TV advertising industry. So from that perspective, it's something that connects everything better together in the entire industry, and that's where the name Harmony came from. And that's the reason we had the ANA, the 4A's and IAB with us, because it's really bringing kind of a connecting -- creating a better connecting tissue for the entire industry. And as to the pricing, it's connected to that because today, I mentioned things that I never mentioned before, things like media and DSPs and SSPs in terms of us affecting and touching and getting ourselves involved on that side of the industry. And the way we're doing it and making sure that we're staying unbiased and kind of staying away from becoming part of this is the pricing model. So the fixed pricing model that says no matter what technology and what efficiency we're bringing to the industry and what outcome, we're staying with fixed CPM, like you mentioned, like ad serving, which guarantee that we're not -- there's no take rate. We're not part of the food chain. We're enabling the food chain. We're enabling better results. We did not share publicly specific pricing, but the pricing model is the same as an ad serving in terms of it's a fixed -- it's a fixed number multiplied by volume, and that would generate the Harmony related revenue. We just didn't share publicly the exact rate card as we are now starting to close our initial deals in the market. 
Laura Martin: Okay. And is this going to be meaningful in '24? Or do you think it becomes meaningful in '25? What's the timing of when Harmony becomes a meaningful contributor to revenue, do you think? 
Zvika Netter: Tony, do you want to take that? 
Anthony Callini: Yes, no, I think it's still pretty early. I mean, this is a big industry. Brands are going to move at their own pace. So, it's hard to say at this point, which is why we haven't included it in guidance. Certainly, for '25, we think it will have effect. And it's probably a little bit of a to be determined for 2024. And as we see what the adoption is like, we'll certainly keep everyone updated and incorporate it as appropriate into future guidance. But certainly, going into 2025, we think it will have a meaningful impact. 
Operator: At this time, there are no further questions. I'd like to turn the call back to management for any closing remarks. 
Zvika Netter: Yes. I want to thank, everybody, for joining us today; the analysts, shareholders, even some of our partners and, of course, employees. I'm extremely pleased with our first quarter results. The momentum that we started the year, exceeding expectations across top line, bottom line, free cash flow. And as you heard, I'm also incredibly excited about the initiative, the Harmony initiative and the products that we launched and share that we're going to continue to launch throughout the year. And our ability to continue to innovate, while keeping this financial -- kind of strict financial framework both at the same time, invest in areas that, as we just discussed, are going to generate further momentum and grow for years to come. I look forward to keep updating you every quarter on our progress. There is more content also on the website on this Harmony initiative. Have a great day. Thank you so very much. Bye-bye. 
Operator: This concludes today's Innovid first quarter 2024 earnings call. Thank you for attending, and have a great day.